Operator: Greetings, and welcome to the Xtant Medical First Quarter 2021 Financial Results Conference Call. All participants are in a listen-only mode for today's presentation. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the conference over to Matt Steinberg of Lazar FINN Partners. Please go ahead.
Matt Steinberg: Thank you, operator, and welcome to Xtant Medical's first quarter 2021 financial results call. Joining me today is Sean Browne, President and Chief Executive Officer; and Greg Jensen, Vice President, Finance and Chief Financial Officer. Today's call is being webcast and will be posted on the company's website for playback. During the course of this call, management may make certain forward-looking statements regarding future events and the company's expected future performance. These forward-looking statements reflect Xtant's current perspective on existing trends and information and can be identified by such words as expect, plan, will, may, anticipate, believe, should, intends and other words with similar meaning. Such forward-looking statements are not guarantees of future performance and involve risk and uncertainties including those noted in the Risk Factor section of the company's annual report on Form 10-K filed with the SEC on February 24, 2021. Actual results may differ materially. The company's financial results press release and today's discussion include certain non-GAAP financial measures. Please refer to the non-GAAP to GAAP reconciliations, which appear in the tables of our press release, and are otherwise available on our website. Note that our Form 8-K filed with our financial results press release provides a detailed narrative that describes our use of such measures. For the benefit of those of you who may be listening to the replay, this call was held and recorded on Tuesday, May 11 at approximately 9 a.m. Eastern Day Light Time. The company declines any obligation to update its forward-looking statements, except as required by applicable law. Now I'd like to turn the call over to Sean Browne.
Sean Browne: Thank you, Matt, and good morning to everyone listening. At this time last year, as the global pandemic took over our world, we outlined four goals that would Xtant Medical in a much stronger financial and operational position. Those goals consisted of the following; one, keep our people and their family safe. Two, conserve as much cash as possible. Three, catch up on production shortfalls, and four, transform our bioproduction and hardware operations. A year later, as we begin to emerge from the worst of this pandemic, we can now look back and say that not only do we meet those goals, but Xtant as a business is stronger than ever. Our business underwent a significant transformation with the implementation of several strategic and operational initiatives designed to position Xtant for future growth and strengthen our financial position. Case in point is the $20 million private placement we closed in February that brought in much needed growth capital to support our initiatives focused on innovative new products, and expansion of our distribution network. In addition, last week, we closed on debt financing of $20 million and more favorable terms and interest rates. Now turning to our results, the first quarter started off slow as our sales were impacted by the reduction of elective spinal procedures to the increase of COVID hospitalizations across the top markets we serve. However, in March and April, we saw a solid sales rebound indicating a recovery of procedures from the first two months of the year. This is indicative of the nature of spinal procedures, which typically have a quicker rebound compared to other elective procedures. In fact, in March we did business with the highest number of customers than any other month over the past year. While we continue to take the necessary steps in managing through the impacts of COVID, we have several upcoming initiatives as part of our shift from an operational focus to a commercial focus that we believe will drive future growth. First, we are advancing the release of several new product introductions that will expand and improve our biologics portfolio offering. Last year, we launched two new product lines the Matriform SI and OsteoVive PLUS. We have plans to release four new biologic products in 2021, including some exciting products that we believe will contribute to meaningful revenue growth in the years ahead. Second, we're in the process of expanding our marketing program and distribution network. We remain committed to helping our existing distributors drive greater penetration in their markets. We believe that our incentive programs do product releases and revamped high touch service model will help enable our distributors to grow more profitably, and in turn help Xtant grow as well. We plan to reengage with our customers as markets continue to open up and showcase our leading products at trade shows and other national and regional meetings. In addition to these marketing plans, supported by our stronger financial position, we're in the process of rebuilding our salesforce. After the aggressive actions we took at the start of the pandemic to reduce costs, we're excited to reinvest in our commercial team by bringing in new talent and expanding into adjacent markets and regions across the country where we see promising opportunities. Looking ahead, we're pleased to be in a position where we can focus on growth and commercial execution. Our strategic initiatives give us the confidence that we can substantially grow our business over the long-term. Over the coming months, we will continue to prudently manage our costs and work to mitigate the impact of COVID-19 pandemic, while taking advantage of growth opportunities within our target and adjacent markets.  Now I would like to turn the call over to our CFO, Greg Jensen for a discussion of our first quarter 2021 financial results.
Greg Jensen: Thank you, Sean and good morning everyone. Total revenue for the first quarter of 2021 was $12.5 million, compared to $14.8 million in the same quarter of the prior year. The decline in revenue was largely attributed to the impact of COVID-19 on the occurrence of elective procedures in our largest markets. However, electric procedures did recover in March after a challenging January and February. Gross margin for the first quarter of 2021 was 64.5% compared to 65% for the same period in 2020. A slight reduction in gross margin was primarily attributed to diminished economies of scale due to lower sales, partially offset by reduced depreciation expense. First quarter 2021 operating expenses were $8.1 million compared to $11 million in the same period a year ago. As a percentage of total revenue, operating expenses were 64.6% in the first quarter of 2021 compared to 74.3% in the first quarter of 2020. General and administrative expenses decreased by $1.3 million to $3 million for the first quarter of 2021, compared to the same period in 2020. The decrease was primarily due to lower severance related expenses, and costs associated with ERP system upgrades in first quarter last year. Sales and marketing expenses were $4.9 million in the first quarter of 2021, compared to $6.4 million in first quarter of 2020, a decrease of 23%. The decrease was primarily due to lower sales commissions because of lower sales and reduced compensation related expenses. Net loss in the first quarter of 2021 was $29,000, or $0.00 per share, compared to a net loss of $2.5 million or $0.19 per share in the comparable 2020 period. Adjusted EBITDA for the first quarter of 2021 was point $0.8 million compared to $0.3 million for the same period in 2020. As of March 31, 2021, we had $18.6 million of cash and cash equivalents, $7 million of net accounts receivable, $21.6 million of inventory, and $5 million available under our then existing credit facility. As we previously announced, we closed a private placement that resulted in total net cash proceeds of approximately $18.4 million, which we expect will be used for working capital and other general corporate purposes. In addition, on May 6, we entered into new credit agreements with MidCap Financial Trust, replacing and paying off our then existing credit facility with OrbiMed Royalty Opportunities Fund II. These new credit agreements provide a $12 million secured term loan and an $8 million secured revolving credit facility. We believe this debt financing right-sizes our total debt, enhances our balance sheet and allows us to continue focusing on our strategic growth initiatives. Also, as announced earlier today, we filed a universal shelf registration statement with the SEC that, once declared effective will allow us to offer and sell from time-to-time over a three-year period various securities in amount up to $150 million. The filing of this type of registration statement is a matter of good governance, and will give us flexibility to finance future growth initiatives and business opportunities by accessing the capital markets on a timely and cost effective basis. The registration statement upon effectiveness will also allow certain stockholders affiliated with OrbiMed Advisors LLC to offer and sell from time-to-time up to approximately 18.2 million shares of our common stock, which if this occurs will increase the number of shares in our public float and hopefully bring more liquidity to our stock. Please note that the mere filing of this shelf registration statement does not mean that either we or the OrbiMed funds are contemplating any specific offerings at this time. The specifics of any future offering will be determined at such time and will be described in a prospectus supplement filed in connection with such offering. Now, I'll turn the call back to Sean for closing remarks.
Sean Browne: Thank you, Greg. For 2021, our strategy will focus on establishing a regular cadence of new product introductions, broadening and engaging our distribution network, investing our sales force and furthering our operational efficiencies. By doing this, it will provide us with a solid pathway to execute on our long-term growth initiatives. While the first two months of 2021 were very challenging, we see the good news of lower COVID case counts, lower hospitalizations, and positive vaccine trends. We are optimistic that elective procedure volumes will normalize over the course of the year. As spinal elective procedures are usually the first to return given patient needs, we believe there's pent-up demand in our largest markets.  In so doing we remain dedicated fulfilling our mission of honoring the gift of donation so our patients can live as fuller life as possible. Thank you for joining us today and for your continued support.
Operator: This concludes today's call. All parties may now disconnect.
Q -: